Operator: We now have Sean Reilly and Keith Istre in conference. (Operator Instructions) In the course of this discussion, Lamar may make forward-looking statements regarding the company, including statements about its future financial performance, strategic goals and plans, including with respect to the level of potential acquisition activity, election to real-estate investment trust status, and the amount and timing of any distributions to stockholders. All forward-looking statements involve risks, uncertainties and contingencies, many of which are beyond Lamar's control and which may cause actual results to differ materially from anticipated results. Forward-looking statements give Lamar's current expectations and projections relating to its financial condition, results of operations, strategic plans, objectives and future performance. As such, they are subject to material risks and uncertainties including economic conditions and their effect on the markets in which Lamar operates and the broader demand for advertising, levels of expediters on advertising in general and outdoor advertising in particular and risks and uncertainties relating to Lamar's significant indebtedness. Lamar has identified important factors that could cause actual results to differ materially from those discussed in this call in the Company's most recent Annual Report on Form 10-K as updated or implemented by its quarterly reports on Form 10-Q. Lamar refers you to those documents. Lamar's third quarter 2014 earnings release, which contains information required by Regulation G regarding certain non-GAAP financial measures, was furnished to the SEC on a Form 8-K this morning and is available on Lamar's website, www.lamar.com. I would now like to turn the conference over to Sean Reilly. Mr. Reilly, you may begin.
Sean Reilly: Thank you, Chantelle, and welcome everybody to Lamar's Third Quarter 2014 Operating Results Conference Call. I feel like our third quarter was very solid. National headwinds continue in terms of national ad spend. But our folks on the ground that talk to local customers day-in and day-out are doing a great job and making up the difference. Just to put it in perspective, national for the third quarter was down 2.4%, yet we were able to make that up and grow the book in the face of that. And more importantly, that momentum, particularly at the local level, is continuing into the fourth quarter. We feel real good about where our book is shaping up. And importantly, where you would expect our local book to be strong in those parts of the country where local economies are exhibiting relative strength, our local book is exhibiting relative strength. So I feel good about where we are and I'm looking forward to finishing the year strong and on a high net. Keith?
Keith Istre: Thanks, Sean. Just a couple of quick comments. Once again as you see in the press release, we continue to report our revenue and EBITDA using the daily revenue and monthly revenue recognition basis. Just to be clear, the daily numbers are actual as reported for Q3 '14 versus Q3 '13. Those are not adjusted for pro forma acquisitions. The monthly numbers are actual monthly basis Q3 '14 versus actual Q3 '13 adjusted pro forma for acquisitions. We've provided Q4 '14 monthly revenue guidance on a pro forma basis, as usual. As you saw in the release, we expect that revenue growth to be up between 2.5% and 3.5% for the quarter. This will be the last time the company will provide this monthly guidance and Q4 will be the last time we report both performance metrics, daily and monthly. In 2015, we will only report revenue and EBITDA performance on a daily revenue recognition basis. We'll talk more about that on our next quarterly call. Last, just a note on AFFO and looking at our AFFO computation schedule in the press release, please note, try to annualize AFFO for '14 based on the Q3 or year-to-date numbers. Through September 30th of this year we've been recording income tax as a C Corp. In Q4, assuming the merger is approved on November 17th when we are scheduling to have the shareholder vote, we will be accounting for taxes as a REIT and there will be reversals of prior tax accruals in Q4. I think you saw something similar yesterday in CBS's press release for their third quarter. With that, turn it back over to Sean.
Sean Reilly: Sure. Thank you, Keith. I'll walk through a couple of the metrics that you all like to receive on these calls. Let's start with our digital build-out. We've added 56 digital units in Q3. So we ended the quarter with 2,010 digital units in the air, 1,141 bulletins and 869 posters. For the full year year-to-date, we've added 137 digitals. I think as we look to finish out the year, we will probably add about 175 digital units organically and we will probably pick up 20 to 25 through acquisitions, so a net addition to the digital portfolio of about 200 units in 2014. Our same digital unit revenue continues to perform and outgrow the book in general. In Q3, our same board digital increased 3.6% and for the year it’s 4.1%. So we are encouraged by those numbers and it bodes well as we move into 2015 for our digital expansion. Rate and occupancy excluding digital, Q3 '14 posters occupancy of 73% compared to 72% in Q3 '13, an increase of 1%. And for bulletins, Q3 '14 occupancy of 81% versus 79% last year same period, an increase of 2%. On the rate side, average rate per panel for posters Q3 '14, $441 average rate per panel compared to $437 average rate for panel same period last year, an increase of 0.9%. And on bulletins, Q3 '14 average rate per panel [Audio Gap] $1,107 compared to [1120%] (sic) offset by a local increasing 3.8%. In terms of percentage of the book that was reflected in a tick down in our national percentage of the book to 22% of our total book of business, so we were 78% local, 22% national. Categories of business of note, of relative strength, service was a big performer in Q3 2014, up 17%, and real estate continues to show relative strength, up 22% in the third quarter and the weaknesses where we pointed to throughout the year, telecom down 16% in Q3 and of course that is mostly reflective of the national book. With that, Chantelle, I am happy to open it up for questions.
Operator: Thank you very much. (Operator Instructions) Our first question will come from Marci Ryvicker, Wells Fargo.
Marci Ryvicker - Wells Fargo: I have first a question on just trends in Q3 and Q4. First of all, did you get any political in the third quarter and are you seeing political in the fourth quarter or is the acceleration into Q4 really just organic? And then the second question is, Sean, you mentioned 20 to 25 digital boards coming from acquisitions. Are those acquisitions you have already made or are those coming from new acquisitions?
Sean Reilly: These are pretty much on the digital boards acquired, that's just the collection of smaller transactions we've done throughout the year. I think we are going to close the year having spent, give or take, $75 million to $80 million in smaller acquisitions like New Orleans, for example, where we are picking up some digital units. On the third quarter, political wasn't much of a factor. But as we look forward to the fourth, it looks like it's adding about 0.5% to what would otherwise be our organic growth, Marci. So that's a pretty good number for you to think about. And again, that fourth quarter guidance, that's about 0.5 points.
Marci Ryvicker - Wells Fargo: And just one follow up. The auto category I think people have been concerned about just in general. What are you seeing in auto?
Sean Reilly: We are basically seeing it level out. In Q3 it was slightly down. But when I put it in perspective and look at the full year and where auto is in terms of recovering and our book of business from 2009, I would say that we are about there. Auto for us is about normalized.
Operator: Thank you. Our next question will come from Ben Swineburne, Morgan Stanley.
Ben Swineburne - Morgan Stanley: Thanks for the comments. I think you hit a lot of what people are focused on. On your point about local economic growth correlation, maybe you could just take us around your regions and help us understand where the growth is better than it is in other parts of the country and what you are seeing in the local economy that's sort of fueling that so we can understand sort of that historical correlation of GDP and growth which maybe what's breaking down earlier this year maybe it's coming back in again now.
Sean Reilly: I think that's the appropriate question. When I look at our growth in our local book, that's the part of our business that's most directly correlated with GDP. It tends to be more mainstream as opposed to Madison Avenue. That national spend can be a little bit fickle and a little bit disconnected from GDP. So when we look at local economies that are strong, the strongest local economies in Lamar-land are places like Texas, Oklahoma and the like which make sense, Louisiana, strong job growth, lots of oil and gas related activity and that was our top performing region, the Southwest, it was up 6.1% same-store in Q3. And then if you continue along the Gulf Coast, again relatively strong economies. Again, that was our second strongest region at up 5.1% pro forma, so good strong numbers there. And then in some places where housing was hit the hardest and they fell the hardest, places like Southern California and South Florida where real estate is coming back and you can see stronger relative local growth. Those companies are doing again very well and trending higher than our overall book. So that gives me a good feeling that when we get some economic tailwind that we'll perform.
Ben Swineburne - Morgan Stanley: And then just quickly the last question back on national, in addition to being fickle, I think it's also pretty concentrated in a couple of big customers. So I think [indiscernible] comes to the headwind. Can you just help us remember when you add some of that stuff? I think I would think as you're moving to next year just from a comps perspective national gets a little bit easier, but I don't want to overrate it.
Sean Reilly: It's a little bit early for us to peer into next year. But that being said, the chatter is better than it was going into '14. I've described it as more steadier she goes with maybe a little bit of a tailwind if things break right with a couple of big customers. And on the telecom front, it's interesting, we had a couple of smaller regional wireless players step in when the bigger ones stepped out. So for example in Q3 of '13 our third largest customer was Verizon. This year Verizon is not in our top 10, but our number three customer this year Q3 of '14 is MetroPCS. So they'll come and go depending on what their objectives are and we just have to manage around that. But again, we're hearing slightly better things going into '15 on the national front.
Operator: Thank you. Our next question will come from Alexia Quadrani, JP Morgan.
Alexia Quadrani - JP Morgan: Just two questions, first on the digital commentary. You've seen some good growth in digital boards and looks like your demand is continuing into the end of the year. Could you give us a sense of I guess how far you think you can go, I guess how strong is the backlog for demand and any color you could potentially give us on where those can go? And then my second question is just a follow-up on your commentary in political with the political spending that we're seeing in the local market. You mentioned you're seeing some coming into billboards, but are you also seeing a benefit from maybe the crowding out for core advertisers that would otherwise be on TV that might be coming to outdoor at this point?
Sean Reilly: I'll take the second question first. Traditionally for Lamar in particular and I think outdoor in general, we've never been the kind of medium that reported numbers ex-political because it's never had that dramatic effect or swing in our numbers year-over-year. That's for a couple of reasons. Number one, the political we do get tends to be spread out throughout the year, not just focused in the fourth quarter. This is historically now because there has been a little shift in that. And also because our races are local, hyper-local races like City Council and judges and things like that, they tend to not be focused in the even year, so they're not national in their scope and focus. But we've seen a little bit of change in that, the last two cycles, given the amount of money that's being spent in political. So I would say that the best number to use for us if you wanted to think ex-political would be even number years about a 0.5 point bump in the fourth quarter. Other than that it's not going to be material in terms of moving our numbers around. We might get a little bit of crowding out. There are some people that want to avoid the fray. But when I look at what's really going on in our book, we have at any moment in time 45,000 customers and they're making their decisions I think based on what their marketing and advertising goals are and I think the key driver for us in the back half of this year is some economic tailwinds in some parts of the country that are driving local business. Does that answer your question?
Alexia Quadrani - JP Morgan: That's very helpful. And then just any commentary on the digital side?
Sean Reilly: The digital side, so we do this bottom up. So when our local general managers see demand, then they request digital units. And as long as we are seeing our local GMs and their level of confidence suggesting that there's sufficient local demand to fill up more digital units, we'll keep putting them out there. Keep in mind we have uneven development throughout our footprint. We have some markets that have 20% to 25% digital penetration, we have others that are other 5%, 10%, 15% digitally penetrated. So it tends to be those that are less penetrated that are asking for additional digital units.
Alexia Quadrani - JP Morgan: On that point, do those -- are there any sort of other things about those markets -- I are are they just happen to be -- because there is some higher concentration in some different geographies, is there some characteristics about the -- market versus the ones that haven't quite seen the demand yet?
Sean Reilly: Typically it’s been driven by regulation. Different local DNAs have different rules and regs that have evolved over time. And so that really is the key driver of relative digital penetration across our footprint.
Operator: Thank you. Our next question will come from David Miller, Topeka Capital Markets.
David Miller - Topeka Capital Market: So when you look out on to the acquisition landscape, and obviously you guys have a bit shy about saying that you want to get bigger opportunistically. Do you see in future acquisitions acquiring other regional operators that are similar to you in your construct meeting sort of an 80% local, 20% national type of platform, or could you see going out and acquiring something like a Van Kampen for example that has much more of a 50-50 sort of national local component and just being opportunistic here just given that the national portion is obviously weaker right now?
Sean Reilly: Sure. In terms of where we are going to focus our acquisition activity, I would like to describe it as high quality traditional out of home inventory that is re-qualified. And so when you look through the out of home universe in the domestic U.S. and fair out those assets that fit that description, you get back to a handful of targets that would be attractive to Lamar. National, while it’s fickle, it comes back. And the way I would like to describe it is it's no better nor no worse than local. It's just has a higher beta. And when you take a longer view of the world, there is really not a dimes worth of difference in the growth prospects between local and national when it comes to billboard ad spend, it’s just the volatility. And given that as a backdrop, if there are good high quality traditional out of home assets that are re-qualified in a top 25 DMA, then we're certainly going to take a look.
Operator: Thank you. Our next question will come from James Marsh, Piper Jaffray.
James Marsh - Piper Jaffray: Two quick questions. First on real estate as a percentage of total, can you just kind of remind us where we were at the peak and where we are today just to give us a little context? Then I just want to follow up on one of the comments you made earlier about the oil and gas markets being strong. How those markets typically react when you see a material decline in oil prices? Obviously there is a lot of talk about oil prices down these days. Is that something that takes a while to kind to work its way through those economies? Are there other factors that kind of insulate them from those types of changes in oil prices?
Sean Reilly: On that questions of sort of predicting local GDPs based on oil prices, I don't think I am qualified or smart enough to do that.
James Marsh - Piper Jaffray: That makes two of us.
Sean Reilly: So I think I will shy away from trying to play economist. Other than to say, if you take a snapshot in time right now and look at relative economic strength, you are going to find it in those places like Oklahoma and Texas, Louisiana and again that's where our book of business is up mid to up single digits reflective of that strong local economy. So real estate, in 2007 it peaked about $100 million in our book and I think at that stage of the gain, it was 9% or 10% of our book of business. And I would argue that that probably wasn't the real world and that if you take a 30-year view of where it's headed in and where it should settle out, it should probably be in the neighborhood of 4%, 5%. Right now it's kind of clawing its way back to that 4% or 5%. It's probably at about 3% now of our book. And like I said, it's growing at about a 20% clip. So I would expect that it would normalize right around 4%, 5%.
Operator: Thank you. Our next question will come from Eric Handler, MKM Partners.
Eric Handler - MKM Partners: Thanks for taking my question. Just couple of things on the rates that you've been seeing for the traditional billboards. While not huge swings, and we've seen now about five consecutive quarters where bulletins are down in the 1% to 2% range and posters have been increasing in the 1%, 1.5% range. Any particular reason why you're seeing this disparity or why bulletins have been declining with rate and posters increasing?
Sean Reilly: So it's something that's happening across the industry. When I talk to my colleagues at Outfront and Clear Channel they're experiencing the same thing and there is some different theories. Keeping in mind that when we convert a bulletin to digital, we're typically converting our best units and that static inventory is coming out of the calculation and so that could be swinging it a little bit. To me, I can't stop at that explanation, because I think it's something we should manage to and do better. And of all of the stats that I've been looking at for the last year, that's the one that bothers me the most. And I do think that we can't just depend on the digital conversions, we really need to do a better job at grabbing rate. We talk about it every day here on trying to make that metric improve. If we can drive rate on bulletins, then there is a huge lift. We're getting [Multiple Speakers] gain but we're not getting the rate gains.
Eric Handler - MKM Partners: So I don't know if you have this data, but if you took out the bulletins that have been converted for digital, so you sort of have a like-for-like bulletins that were same-store bulletin units, would the rate be up then?
Sean Reilly: Well I don't have it at my fingertips, so I can't answer the question. I think if we drill down we can probably get there. We've spent a lot more time tracking the other side of the equation which is once you do a conversion, you're getting the lift that you expect. But it's just harder to quantify that. But like I said, that's a reason, not an excuse and I think we should manage better to that problem.
Operator: Thank you. Our next question will come from Tracy Young, Evercore.
Tracy Young – Evercore Partners: Just two questions if I could. I don't know if you answered a question on retail. But what does retail represent as a percentage of total revenues and how did that perform in the quarter? And then also just a question on depreciation this quarter. Is that something we should expect going forward or is it just a timing issue?
Sean Reilly: Keith wanted to hit the depreciation thing while I look up the…
Keith Istre: Can you repeat the depreciation question?
Tracy Young – Evercore Partners: Just depreciation was down during the quarter. I'm just wondering if it's a timing issue or if it's going to be lower going forward?
Keith Istre: We've got acquisitions going back into the late 90s that are rolling off and each quarter you're going to see going forward there could be some slight decline quarter-over-quarter. I mean the largest acquisition we ever did was in 1999 it was about 1.7 billion and we depreciate -- appreciating that over the past 15 years. And so that's coming to an end. And some of the other things that we allocate purchase price to have shorter lives than the billboards, the contracts, the lease agreements with the customers, things of that nature. So that's not unexpected.
Sean Reilly: So on the retail question, retail is 10% of our book and in the third quarter it was down slightly at down 1%.
Operator: Thank you. Our next question will come from Bill Bird, FBR.
Bill Bird – FBR Capital Markets: Do you still see or you have a reasonable shot at the upper end of the AFFO guidance range? And then just as a follow-on on billing and pricing, what do you think needs to happen to see greater price inflation for bulletins? Thank you.
Sean Reilly: So we are tracking sort of right down the middle right now on our AFFO guidance. I think the softness in national has cost us $0.04 or $0.05 back half at metric. The other question was…
Bill Bird – FBR Capital Markets: On bulletin.
Sean Reilly: Bulletin pricing. I think if we could get a rebound in national in particular with some of those telecom guys, you can see that rate pick up. They tended to buy our best units at our best prices, so I'm watching our Head of National Sales agree with me on that. That's probably number one. So a swing upwards in demand from our national accounts would be very helpful in that regard as we have been kind of swimming against that. And then other than that, I think bulletins are location driven, sold individually, by location, individually negotiated, so that when there is a whip of inflation expectation. We are able to inject that into the conversation. Right now, you don’t have a whip of inflation expectation. And so come renewal time, there tends not to be that sense that we can drive rate. So I would point to those two things. A rebound in national demand and a whiff of inflation expectation and you will see -- you should see our bulletin rates start improving.
Operator: Thank you. Our last question will come from Jason Bazinet - Citi.
Jason Bazinet - Citigroup: Just following up on Bill Bird's question. I think a lot in the buy side maybe some comments from guys are also using sort of this 10% to growth in FFO per share is a bogie for 2015. Would you say that the nickel or so that the software national caused you this year augmented with your commentary about the feeling a little bit better, makes that still a reasonable proxy for the buy side deals?
Sean Reilly: Yes, I feel good about that. There is a couple of things driving that. We are going to get a break on REIT related expenses that just carry over to next year. We are going to get a break on our interest expense due to our refinancing. So there is some artificial things that are given us the leg up there. I'd rather have that nickel this year and grow it 10%. But it's -- if you want to play the cop game, play the cop game. Yeah, we have an easier comp.
Operator: Thank you. Speakers, at this time, we have no further questions in the queue.
Sean Reilly: Right. Thank you all for listening in. We appreciate your interest in Lamar and we look forward to visiting in February of 2015.